Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to The Steak n Shake Company First Quarter Fiscal 2007 Earnings Call. At this time, all participants are in a listen-only mode. Following the presentation we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for your questions. I would like to remind everyone that today's conference is being recorded and would now like to turn the conference over to Mr. Jeff Blade, Senior Vice President and Chief Financial Officer of The Steak n Shake Company. Please go ahead, sir.
Jeff Blade: Thank you. Good afternoon and welcome to The Steak n Shake Company's conference call and webcast to report revenues and earnings for the fiscal 2007 first quarter. Before we proceed, I would like to remind everyone that the contents which you are about to hear contain various forward-looking statements which represents the Company’s expectations or believes concerning future events. These forward-looking statements involve risks and uncertainties, and although the Company believes the assumptions on which these forward-looking statements are based are reasonable, any of the assumptions could prove to be inaccurate. Investors are referred to the full discussion of risks and uncertainties associated with the forward-looking statements contained in the Company’s fillings with the SEC. With me today is Peter Dunn, President and Chief Executive Officer. Peter will begin today’s conference with opening remarks. I will then present the financial review and Peter will return for closing remarks, at which time we would be glad to answer any question you may have. So with that, I would like to turn the call over to Peter Dunn.
Peter Dunn: Thanks Jeff. Good afternoon. My overall message is that we continue to focus on our top priority of gaining sustainable same-store sales momentum to improve store execution, new product innovation, and optimization of The Steak n Shake concept; however, we were disappointed with earnings being lower than prior year. The first main message is that while same-store sales remain negative during the quarter, we are encouraged by the improvement in same-store sales trends since the fourth quarter of fiscal 2006. During the first quarter, our same-store sales declined by 1.7%, improving from minus 3.4% same-store sales decline in the fourth quarter of fiscal 2006. The improving trends change is due to some improvement in external factors, such as gasoline prices and marketing programming. Earnings were down versus prior year as expected given a difficult same-store sales environment and the impact of higher wage rates prior to a increase in late December. Improving same-store sales remained our highest priority, and during the quarter we executed several initiatives to drive trend improvement. In November, we dropped incremental coupon designed to generate guest traffic in the pre-holiday period when consumer programming has traditionally been limited. The coupon redeemed well, but did not generate all of the incremental guest traffic anticipated. In late November, we expanded our Holiday Milk Shake limited time offer in the direction of two new limited time creamy Milk Shakes, White and Dark Chocolate with Holiday Fudge to complement three classic flavors from prior years. The Holiday Milk Shakes were well received by customers generating sales higher than the prior year's promotion and contributing to the improving same-store sales trend. In December, we implemented a 1% price increase to cover high labor cost resulting from new minimum wage laws, that was late December. We will continue throughout the year to monitor other proposed minimum wage law proposals to ensure that we are able to cover rising labor cost as necessary. The second main message is that we are continuing to focus on new product innovation with a variety of new products that we are testing and launching. As we have previously discussed over the last several years, we have been building a more significant product development capability to support a continuous stream of new product innovation. With this capability continuing to strengthen, we will be testing and launching several new significant product innovations during the year. After successful test marketing, we recently launched a new Fruit 'n Frozen Yogurt Milkshakes made with low fat frozen yogurt at the end of December in all stores. It is too early to assess performance, but early customer reactions have been positive. New Yogurt Milk Shakes currently represent approximately 25% of total milk shake sale. We are also in the process of expanding our test of three new thin and juicy chicken sandwiches to 30 stores in our Louisville, Lexington and national markets. The new thin and juicy line includes a grilled chicken sandwich, a breaded chicken sandwich and a spicy breaded chicken sandwich. That can be ordered in singles or doubles, similar to our famous STEAKBURGER sandwich line. Assuming positive test results, we expect to launch chicken sandwiches in all stores later in the year. Also in development, our new on tray salads intended to update our current salad offerings. We have identified a group of consumers that frequents Steak n Shake less often and to prevent others from visiting as well. We call them [Veto Voters]. But frozen yogurt, chicken and salad work is part of our strategy to create a range of lighter menu options to appeal to this segment. In addition to our new product innovation, we are currently test marketing a new menu design to be easier for our guest to shop. It will feature core menu items more prominently and will clearly delineate meal combination offerings and side items. Look and feel of the menu is more of a casual dine look, and keeping with our positioning of Steak n Shake as a cut above quick serve restaurants. The third main message is that we continue to focus on systematic efforts to upgrade store level performance on all key operating measures while making progress on concept evolution and store expansions. As we mentioned during the fiscal 2006 fourth quarter conference call, we have implemented a systematic process designed to accelerate progress on field execution. As a reminder, we identified three key measures which correlate most highly with our same-store sale success. The three measures are, change in drive-thru speed, get satisfaction in the dinning room, and associate turnover. Each of these measures has been shown to have a direct correlation with same-stores sales and progress. We have classified all restaurants into five quintiles based on their performance against these measures, which we have labeled A to E with As being the best. During fiscal 2007, we intend to make significant progress moving E through B restaurants up the ladder of performance, and we systematically work to address every underperforming unit. We are confident this systematic approach is the right way to ensure that all restaurants are performing at their true potential. Over time, we have found significant synergies from focusing on a single initiative across the system to drive progress. Our focus during this year for the A to D stores is to improve drive-through speed of speed of service in the fiscal half of 2007, and dine-in guest satisfaction during the second half of 2007. The focus for the bottom quintile E restaurants is to ensure that the right store level leadership is in place, and that we have addressed turnover challenges in these restaurants. We must first have the right store leadership, in order to facilitate greater progress. Throughout the year, we will continue reviewing all underperforming stores and will enable to develop a plan to improve each store's performance or dispose of the assets. On our website at www.steaknshake.com in the Investor Relation section, we will post after today's conference call a few slides to provide you with more detail on the correlation of each item with same-store sales on our improvement in each of the key measures and on the progress in moving restaurants up a tier. During the first quarter, we continue to make progress since E restaurants -- improving E restaurants and moving them into A&B tiers. Since we began this process, the net number of 42 restaurants have improved at least a letter grade, 17 restaurants have improved 2 or more letter grades. In addition to concentrating on field execution, we are continuing to review all aspects of the current concept to ensure strong foundation and the optimized operation needed to support, accelerate expansion. We made progress during the quarter on several major initiatives relating to optimizing the concept including the associate winning promise, the guest winning promise and the transformation of the field organizations. We recently completed a major study that we refer to as the Associate Winning Promise research. We identified our top 10% performers in our best 10% stores. We now know the ideal demographic and cytographic characteristics of the associates that we should recruit. We also know why they came to work at Steak n Shake and what they are looking for to drive their satisfaction and retention. This information will be translated into revised recruiting and training programs and administrative procedures over the next several months and we believe we'll have a significant impact during fiscal 2008. In addition, we're about halfway through a major study to optimize the Steak n Shake concept that we call the guest winning promise. But the first time in Steak n Shake history we'll have a clear direction on the ideal service experience, building interior, building exterior, and menu optimization. This information will be translated into revised service training, optimized menu offerings, including significant new products, and new building prototypes in the final quarter of '07 and in 2008. Finally, we are making progress in taking steps to optimize the design and operation of our field processes. During 2007, we will create more systematic and fully documented processes for both managing our restaurants and serving our guests. We are designing these processes, leveraging best practices from within the company and across the industry, as well as important insights that we are gathering from our associate and guest winning promise research. It is our belief that taking our game to the next level, we can create sustainable sales momentum that will enable Steak n Shake to unlock its full profit and expansion potential. We will share progress on these initiatives in more detail during future quarters, as we complete the work and begin implementation. During the first quarter, we also made progress on new unit expansion. We added five new company-owned restaurants, including one in Austin, Texas, which represents our first new market opening in several years. We are very pleased with the opening results to-date in this restaurant and the positive guest counts -- guest comments we have received. During the quarter, we also opened one new franchise. Now, I would like to turn the call back over to Jeff to review our fiscal 2007 first quarter financial highlights. Jeff?
Jeff Blade: Thank you, Peter. I would like to review with you some of the details surrounding our fiscal 2007 first quarter results as outlined in our press release. Total revenues for the first quarter, which include net sales from company-owned restaurants as well as franchisees, were $147.3 million, an increase of 6.1% over prior year revenue of $138.7 million. Same-store sales declined 1.7% during the first quarter consisting of decline in guest count of 3.8% offset by a 2.1% increase in average guest expenditures. The increase in guest expenditure was due primarily to 2.1% weighted average menu price increase and favorable mix driven by Bits n Pieces Milk Shakes and partially offset by the impact of the incremental November coupon. First quarter cost of sales was $33.1 million or 22.6% of net sales compared to $31.5 million or 22.9% of net sales a year ago. Favorability was a result of food cost control measures and the impact of pricing. Restaurant operating costs for the fourth quarter were $75.5 million or 51.5% of net sales compared $69.8 million or 50.6% in prior year. The higher costs as a percent of sales were due primarily to minimum wage increases, insurance costs, and the impact of negative same-store sales. On G&A, for the first quarter expenses were $13.6 million or 9.2% of revenue compared to $12.5 million or 9% of revenue a year ago. First quarter expenses included approximately 330,000 related to severance and recruiting fees associated with reviewing all aspects of the current organization. First quarter marketing expense was $6.4 million or 4.4% of total revenues versus $5.9 million or 4.2% of revenues in the prior year. The increase over the prior year is due primarily to the incremental coupon event during November. First quarter interest expense was $3.1 million or 2.1% of total revenues compared to $2.8 million or 2% total revenues last year. The increase in interest expense was due to increased borrowings on the senior notes, partially offset by lower capital lease balances. The opening expenses for the first quarter were 900,000 or 0.6% of total revenues compared to 1.2 million or 0.8% last year. During the quarter, five new company-owned restaurants were opened in four states, including locations in Texas, Ohio, Illinois and North Carolina. This compares to the opening of six stores in the first quarter of fiscal 2007. As previously mentioned, we opened one new franchise unit in Pennsylvania during the quarter. Income tax expense for the first quarter was recorded at an effective tax rate of 14% versus 32.1% for the same quarter last year. The variance in tax rate is due to a benefit of 650,000 after tax due to the Work Opportunity and Welfare to Work Tax Credit being reinstated during the quarter with retroactive effective date of January 1st, 2006. This tax benefit was partially offset by 330,000 in severance and recruiting fees that I mentioned earlier in the G&A discussion. Resulting first quarter net earnings were $4.2 million or $0.15 per diluted share versus $4.7 million or $0.17 per diluted share in the prior year. Now, let me turn to guidance for fiscal 2007. We are really reiterating the guidance previously issued. Company anticipates full year diluted earnings per share in the range of $0.90 to $1. The earnings per share estimate is based on same-store sales growth of positive 1% to down 3%. We anticipate negative same-store sales during the first half followed by improving same-stores sales in the back half of the year, driven by new product innovation and easier comparisons. On expansion, we anticipate opening approximately 15 new company-owned stores in fiscal 2007, and on franchise, we plan to open at least seven franchise units. As we previously discussed, during the year the company will review all aspects of the current organization to ensure we are in a strong position to gain sales and earnings momentum going forward. Any actions which would affect cash flow has been estimated and are included in the earnings per share guidance above. And with that, I would like to turn it back over to Peter for some closing comments.
Peter Dunn: Thanks Jeff. In conclusion I want to reiterate that we are continuing to focus on our top priority of gaining sustainable same store sale momentum for improved store execution, new product innovation and optimization of the Steak n Shake concept. We believe the current initiative to enable us to regain positive same store sale momentum performed more consistently in all market conditions and complete the strategic initiative necessary to unlock the long-term profit and growth potential at Steak n Shake. I want to thank you for your continued interest in the Steak n Shake Company, we appreciate your support as we execute our growth plans over the coming years. And I would like to now open it up for questions at this time.
Operator: Thank you, the question and answer session will be conducted electronically. (Operator Instructions). We will take our first question from Michael Gallo with C.L. King.
Michael Gallo: Hi, good afternoon.
Peter Dunn: Hi Michael.
Jeff Blade: Hi Michael.
Michael Gallo: Hi good afternoon. Couple of questions if I may, I think I heard you say in your initial remarks that frozen yoghurt based milkshakes were about -- they are now about 25% of the milkshake mix. I was wondering if whether you’re finding that that's just cannibalizing your other milkshake sales or whether it's just growing, leading to growth of milkshakes overall for you?
Peter Dunn: It's sum of both obviously because clearly some of that is cannibalization. I don’t have the numbers right in front of me but I do believe that our milkshakes per 100 guests is actually is up a noticeable amounts. So it’s a blend.
Michael Gallo: So, on a blended basis it is growing the milk shake category for you?
Jeff Blade: We are currently, Michael, we are currently in terms of milk shake per 100, we are currently approximately 55 per 100. So, it has helped drive the entries.
Michael Gallo: So, where was that before you rolled that out approximately?
Jeff Blade: In the low 50's.
Michael Gallo: Okay. You have a nice percentage increase. Second question, I was wondering if you can give us an update on where you are on some of the initiatives that you talked about on your last call, i.e. optimization of 24-hour operations, new POS system and increased focus on drive-thru speeds?
Peter Dunn: Sure. We are actually gearing up for a 24x7 pilot. We've picked a couple of markets and I think the expectation is later in the February, March timeframe; we will begin a pilot of a reduced hour operation. We are also at the same time, developing some options, product development options in the premium coffee and breakfast arena. But also later in the year, we will be able to in essence to compare the 24x7 benefits versus an enhanced breakfast coffee offering, I think under any circumstances, it is likely even if we find the 24x7 thing as a significant opportunity, we have a number of restaurants that do a great job on a late night basis. So some of our restaurants will always be open 24x7 we believe and those restaurants will need a better breakfast anyway. And we can all benefit from better premium coffee. So, we think that we will be able to leverage the breakfast and premium coffee restaurant under any circumstances. But depending on the strength of the breakfast and coffee offerings that could make a difference on our move to 24x7. So, we're working pretty systematically, hope to have a clear point of view by the end of the fiscal year.
Michael Gallo: Okay. Great, thanks a lot.
Operator: Moving on to, Barry Stouffer with BB&T Capital Market.
Peter Dunn: Oh, there was one other topic.
Jeff Blade: There were actually two other pieces to that question, one was drive-thru progress; Peter, I think, you are going to take that one and then I will talk about the POS.
Peter Dunn: Sure, I am sorry, I didn’t hear that part of the question, but okay, good. The drive-thru progress, we continue to make progress on that. I don’t have the specific numbers in front of me on that. We're, I would say that we made sort dramatic progress in the prior quarter and continue to make progress in this quarter. Our first fiscal half period ends for drive through speed perspective, our major focus on ends in April and expect to have to be able to show some significant improvements over that time.
Jeff Blade: Yes, and the other part of the Michael, your question was with relation to implementation of new point of sale systems as we talked previously we are in the final phase of selecting a POS software vendor. We are currently in shake down both in internal lab and in the store and we expect to make a final decision shortly at which time we will begin piloting and then bowl out. So, by the end of this fiscal year, early next fiscal year, we expect to be substantially completed with our new point of sale implementation in all of our stores.
Peter Dunn: I would also just compliment on Jeff's comment, that as we have looked at a number of opportunities to optimize the guest experience in our menu that the POS system, we think we will have a number of benefits in that arena as well.
Operator: And our next question is from Barry Stouffer with BB&T Capital Markets.
Barry Stouffer: Good afternoon.
Jeff Blade: Hi, Barry.
Peter Dunn: Hey, Barry.
Barry Stouffer: Can you share with us the amount of stock-based compensation expense that was booked in the quarter?
Jeff Blade: Yes, Barry, the amount of stock-based compensation booked in the quarter was approximately $500,000.
Barry Stouffer: Okay. And can you talk about the commodity cost outlook for the rest of the year? And what you are currently covered on and where you are exposed?
Jeff Blade: Sure. Yeah, the biggest commodity for us obviously is beef cost. It represents about 15% of our total cost to the good sold. We are currently have pricing lot through the end of our fiscal second quarter. We are working actively on Q3 and Q4. And the market is -- obviously, there is some uncertainty in the market today, primarily around beef cost related to cost of corn because of the diversion of corn into ethanol production. A lot is going to depend on the size and success of the corn harvest in this coming season. All of the projections that already suggest that there will be record planting this year of corn. So weather permitting may not materialize to be as much of cost pressure on beef as some would suggest. The other thing that we have done in the last year that we reported to you previously is like many restaurant companies we have approved and certified the use of foreign [90s] in our formulation. Previously we were all domestic and that gives us some pricing flexibility as we go throughout the year. There is a period of time during the summer and early fall when foreign [90s] tend be a lot cheaper than domestic. So, we are continuing to work on it as a part of our overall risk management strategy as it relates to commodity to make sure we're far enough out in front of it. With regard to diary, we are covered from a pricing perspective through this fiscal year. So, should be in good shape there, and that market has obviously been a bit more stable.
Barry Stouffer: Okay. And have you calculated the margin impact of the increasement in wage legislation in the absence of taking the price increase?
Jeff Blade: To make sure I understand your question Barry, could you--
Barry Stouffer: That was, if you did not take a price increase, have you calculated what the margin impact would be from the changes in minimum wage legislation?
Jeff Blade: Yes, let me tell you what the overall cost implication looks like. So, there is a number of states that have enacted. So, Ohio, Missouri, North Carolina, Pennsylvania, Florida, Michigan are the primary ones that we operate in that have impacted us. And the pricing -- cost impact of that in those states in which we operate for fiscal year, if we took no pricing would be approximately $3 million.
Barry Stouffer: Okay. Do you have a feel for the tax rate for the balance for the year?
Jeff Blade: Yes, approximately 34%.
Barry Stouffer: Okay. That's all I have. Thank you.
Jeff Blade: Thank you.
Operator: Moving on to Conrad Lyon with FTN Midwest.
Conrad Lyon: Hi, good afternoon.
Jeff Blade: Hi, Conrad.
Conrad Lyon: Hey, quick follow-up on the commodity [receipts]. Could you talk about chicken and all, if you're fixed there?
Jeff Blade: We did not talk about chicken. We are -- we have some level of coverage on chicken and we are also in the process of chess marketing new chicken sandwiches. So, we are--
Conrad Lyon: Okay.
Jeff Blade: We are actively involved in working with our supplier and ensuring that we cover whatever requirements we will have to account for this.
Conrad Lyon: Any feel for what percent of comps that might be?
Jeff Blade: It's certainly a much smaller percent, so it’s currently less than 10.
Conrad Lyon: Okay.
Jeff Blade: Depending on the success of the chicken, obviously that's the change, but it's less than 10 today.
Conrad Lyon: Yes. I got you. Okay. Comps, hey, I know you guys have given out monthly comps, any feel for how it -- any color on how that direction sequentially throughout the quarter and geographically?
Peter Dunn: Conrad, can you just repeat that question?
Conrad Lyon: Yes, I just wanted to see if you guys can provide any color about the sequential trend of your same-store sales throughout the quarter and then as well any geographical abnormalities?
Peter Dunn: Yeah, I think I would say that we exited last year -- last quarter at a -- as we indicated before, I believe in the 3.4% range. So, I would say that there is a sort of directional improvement over the course of the quarter. And -- yes, so I would say without giving specifics by period, it improved directionally over the course of the quarter, which is in line with our expectations going in.
Conrad Lyon: Alight.
Peter Dunn: And -- Jeff, go ahead.
Jeff Blade: Yes, geographically, it was -- there was nothing -- there were no noticeable patterns per say geographically.
Peter Dunn: The only thing that we have seen is a little bit more softness in the South East, that Florida seems to be rebounding a little bit less robustly than some of these -- some of our other markets.
Conrad Lyon: Okay. One other question, this segmentation or tearing of by quintiles, what's the metric there, is it sales, profitability or a combination thereof?
Jeff Blade: Yes sure, so I think I covered like in the script, so if you want to go back and just double check it, but let me just give you the headline. The headline is that there are -- it’s a weighted average of three specific variables. It is a weighted average of drive-through speeds, guest room -- dining room guest satisfaction and associate turnover.
Conrad Lyon: Okay, so those three variables. Okay.
Jeff Blade: Those three as an aggregate, weighted average and then equally weighted and aggregate.
Conrad Lyon: Where does the bulk of your stores following in two in terms on that category?
Jeff Blade: Well, it started by definition, it started in quintile, so 20% in each quintile.
Conrad Lyon: Okay. So, I thought you are doing--
Jeff Blade: So, that’s how it started and that we use that as the base. We're using the definition that we started with at the end of Q3 2006 as kind of the base and now we are sort of and so that on the basis of top quintile was the A group and we had 42 restaurants move across a tier. Net, there will be some up and some down, but on a net basis, we've had 42 restaurants who are up at least one tier since we started.
Conrad Lyon: Okay, got you, all right, thank you.
Jeff Blade: Good day.
Operator: (Operator Instructions) And our next question will come from Dean Haskell with Morgan Joseph.
Dean Haskell: Congratulations guys.
Peter Dunn: Thanks Dean.
Dean Haskell: Peter, you said weighted average and then implied that each of the three factors were equally rated. Which is it?
Peter Dunn: I am sorry, they are weighted equally. Sorry
Dean Haskell: So, a simple average is.
Peter Dunn: It’s a simple average.
Dean Haskell: With surprise. Okay.
Peter Dunn: Yes.
Dean Haskell: For Jeff, the $500,000 stock based comp for this year, what was the comparable last year in the first quarter.
Jeff Blade: It was approximately the same.
Dean Haskell: Okay. And my last question, two or three software companies that you are working with for the new POS, can you give us an idea, who made the card and who you are testing?
Jeff Blade: What I can tell you is that from a process standpoint it was very, very internal process, so, we sort of discover the landscape and make sure that we were doing good job on our diligence. We actually send an RFP to approximately 25 leading folks in that arena. We received RSP's back from the folks that showed to participate in the low teens and we narrowed it to three finalist and we are in the process right now of making a final decision. And for purposes of partnership with each of them and the work that we are doing with them I prefer not to -- we will be able to do who they are but we are working for it right now.
Dean Haskell: Okay, and has the chicken test already rolled out to Nashville. Kind of timing on that Jeff?
Jeff Blade: Not yet, it’s going to begin in -- at the beginning of March.
Dean Haskell: Okay. Well, you just lost my dinner business to night.
Jeff Blade: I will be driving through [Louie] Delfree, feel free to have a good chicken serving.
Dean Haskell: Okay, guys thanks.
Jeff Blade: Thanks.
Operator: Moving on to David Tarantino with Robert W. Baird.
David Tarantino: Good afternoon.
Jeff Blade: Hi David.
David Tarantino: Peter I think you mentioned in your prepared remarks that part of the same stores sales improvement in the quarter was related to marketing, was that the incremental coupon or was something else going on there?
Peter Dunn: I was referring primarily to the incremental coupon and I guess, maybe secondarily the premium milk shakes we launched this year overall is also a contributing factor.
David Tarantino: Okay. And can you give us a sense for the benefit that you saw from the incremental coupon?
Peter Dunn: Yes, I can’t give an exact number, hold on one sec, want to see if I can get your number. Yeah, directionally it was contributed sort of a point or two. I would say that it was a – while it contributed, it was probably directionally lower than we had hoped for. So it was bit of an experiment first time we had actually done it in that time of the year, and given what we know was of price sensitivity in the market and lot of discounting in the market, we – the facts contributing to the economy, we thought it was worth an attempt. And it – we didn’t contribute, we actually think it contributed, we've noticed overtime that we also get sort of a bit of a tail after the coupon that it sort of has an advertising effect that is getting people back in the flow effect. And when we cut back on coupon and we've also seen the flipside of that, that you get sort of a negative tail from that as well. So, during the coupon period we were, I would say a little bit disappointed, it was sort of in the range but a little on the like side and then following the coupon we've actually been encouraged.
David Tarantino: Okay. And are you planning any additional incremental couponing for the balance of the year?
Peter Dunn: We are not. We are actually -- I think in the January coupon, offers that will be a little bit -- is a little bit more aggressive than prior year, so for example, we've got to buy one get one free on the food product yoghurt milkshake, and number of other offers are richer than last year, because we had actually begun a cutting back versus the prior year couponing last year. And by the way, it just happen to be when the economy was getting a little bit weak. So, it wasn't a perfect timing. So, we have actually gone back to a level of about two years ago. And we never going to become big discounters, big deep discounters, but we are sort of going back to more historical levels.
David Tarantino: Okay, thanks. That's helpful. And on the tax rates, the benefit that you saw in the first quarter was that included in your assumptions when you gave initial guidance for the year?
Jeff Blade: It was included in our assumptions, yes.
David Tarantino: Okay, thanks. And if I am calculating this correctly, if you exclude that benefit, the tax rate was around 28% in the first quarter. And I was wondering first, is that's the right calculation? And if so, why is that below what you would expect for the balance of the year?
Jeff Blade: It sounds that the -- the 28 sounds low. So, let us do a little map on our side, but that sounds low. It should be more in -- the direction should be more in the 34% range.
David Tarantino: Okay, great. Alright, thanks a lot, Jeff.
Jeff Blade: Sure.
David Tarantino: Alright, thanks.
Jeff Blade: Sure.
David Tarantino: Alright, thanks.
Operator: Bryan Elliott with Raymond James has our next question.
Jeff Blade: Hi, Bryan.
Bryan Elliott: Hi, good afternoon. Actually most of my questions have been answered. But I wondered, you know you said you are going to put some detailed info on the website because you give us some insight -- I mean, into this question, I’ll try and articulate it. Comps have been soft here for a while and kind of stuck in the mud to a degree. And since we only see only one number you kind of get the impression that that’s across the whole system, your tier stores are working on pushing people up to higher categories and had some success with that. Can you give us some insight at this point before we crash your web server? I will look in for it later tonight or tomorrow. What we will see there? I mean, is there a -- I guess the question really is, is there a big disparity between both sales levels -- clearly that would be sales levels, and more importantly, comps and trends at the A and the E stores versus DNA stores? And as stores have moved up one category and you mentioned some of that have moved as much -- some have moved two, do you see consistency in the sales levels and your trends that of the stores that have moved? Do they see that say get to the sales levels consistent with the category that they moved into?
Peter Dunn: Sure. So, let me give you glimpse of -- have you looked at our [supplement] website before, Bryan?
Bryan Elliott: You said it will be up later.
Peter Dunn: Yes, it's the--
Jeff Blade: Yes, last quarter.
Peter Dunn: We've also put that up last quarter. So, let me just describe to you what you will see, because the same information is updated. What you will see is, we actually show literally the correlation betweens by tier of the same-store sales trend versus the company average by which tier you are in relative to both -- to each of the three measures. And order of magnitude, there is about a 4% on average -- probably about a -- from a plus two to a minus two or about a three or four, in some cases more percent difference between the A performing stores and B performing stores on a same-store sales depending on the tier on which you are of the performance. So, the top is about typically plus two or three, the bottom is typically minus two or three versus the company average. And that's over a full year -- that correlation is over a full year basis.
Bryan Elliott: So, even the A stores are barely trading water though, on a nominal basis, comps are slightly -- very slightly positive, if they are two to three above the chain?
Peter Dunn: You are correct because (inaudible) the company average. That's correct. But it is 4 point swing.
Bryan Elliott: Okay.
Peter Dunn: So, the data we have suggested, if you can move the E stores up to the A stores is about 4 point swing approximately.
Bryan Elliott: Alright. And how about the stores that have moved by magnitude, have they produced the sales gains or gotten to sales levels consistent with their new category?
Peter Dunn: I would say the data against the quarter it's literally hot of the press. So, we've not had a chance to go back and double validate it. The correlations were developed over a full fiscal year. So, I would expect that they would directionally do, but we have not actually gone back and done the individual look.
Bryan Elliott: Okay. Last question is -- and I appreciate that level of disclosure continue to be frustrated with the lack restaurant weeks or average weekly sales and calculating a simple beginning and ending over two store count, it looks like average weekly sales, which clearly appeared to I should say benefit from a doable acquisition in the previous quarter did not -- this quarter or something else happened it, looks like those numbers converged again after one quarter, sort of improvement in the gap between average weekly and same-store sales, can you give me some insight as to whether Louisville has deteriorated since acquisition or is there something else going on in that calculation, which could be as simple a store timing openings or opening timing I should say?
Peter Dunn: Yes, I think we're not sure we understand, just looking at the faces around here Brian.
Bryan Elliott: The only way we can track new store volumes is getting some kind of average weekly sales or restaurant week numbers, since you do not provide that, all we can do is take beginning and ending stores over two and come up with a simple average store account, provide that into your total sales and compare that to previous periods and come up with a guesstimated average weekly sales number, compare that to the same-store sales number and try and get some insight into new unit non-same store sales performance. There was a significant event, moderately with the Louisville acquisition last quarter and you all had indicated that you expected about a point and a half benefit from bringing the Louisville stores into the company store column. That appeared to be confirmed doing less than precise math in the December quarter and it appears to have not continued here -- excuse me, in the September quarter it appears not to have recurred here in the December quarter, so I guess a simple question is, how Louisville performing? Second question would be, how our new store overall performing because it appears that there's has been some slippage and that may not be the case because we don’t have the ability to actually fared out the real number?
Peter Dunn: Bryan, a couple of things, first of all on the Louisville question, they are performing just about the company average. So, there is no up or down trend.
Bryan Elliott: From a same-store basis or from an absolute sales level, weekly sales run?
Peter Dunn: Yes.
Jeff Blade: But we haven’t opened any new stores.
Peter Dunn: We haven’t opened any new stores, so on a same-store sale basis it's basically part. One of the things I’d like to do and we need to do it now on the larger call or we can do it afterwards, it is not our intention to leave you frustrated. On the contrary, I think we really are aiming to give you exactly what you need. So, we -- I believe that if it is restaurant weak number that would be helpful for you, we will…
Jeff Blade: We will put on what that metric is. So, we--
Peter Dunn: We will get it in. And we'll put it on the websites.
Jeff Blade: Yes, we'll incorporate it in our comments.
Peter Dunn: Or find a way to give it into some public domain very quickly.
Jeff Blade: And Bryan, one of the things just to keep in perspective, because I am not sure I am completely following your question, but Q1 is our lowest average sales quarter.
Bryan Elliott: Quarter, yeah.
Jeff Blade: So that is also likely impacting in.
Bryan Elliott: Okay, fair enough. We'll talk to you off line, thanks.
Peter Dunn: Great, and we'll look forward to that Bryan, because I want to get [shortly in].
Operator: We’ll take a follow-up question from Dean Haskell with Morgan Joseph.
Dean Haskell: I promise to be less long winded.
Peter Dunn: It's alright.
Dean Haskell: New stores, over the last 12 months, how are they performing relative to the base?
Peter Dunn: Oh, what was that?
Jeff Blade: Overall -- so, overall to the base, as we've talked about before, average sales for existing stores are in approximately the $1.5 million range. And new stores over the last several years have performed in the sort of 165 plus range, sort of in that range. And overall new store openings on average have performed better than the existing stores from an averaging volume standpoint?
Peter Dunn: And I was there -- over the last rolling 13 periods or 12 periods, that number will be very consistent.
Dean Haskell: Okay. One more question on the November incremental couponing, was that offer any different than what you would normally do? Was it more aggressive than the previous?
Peter Dunn: It was actually a year ago we did not have any offers. So by definition, it's more aggressive than prior year.
Jeff Blade: I mean if relative to other offerings.
Peter Dunn: Yes, and relative to other offerings, it was actually a scaled back offering. It had fewer coupons, it had some smaller discounts. It was kind of a toe in the water, it wasn’t about a toe in the water, it was at least a foot. It wasn’t bulk, [Dean]. Let us put it that way.
Dean Haskell: Okay. And that might explain of course your low end of the expectation range.
Peter Dunn: It could very well.
Dean Haskell: Thanks.
Operator: And we have no further questions at this time. I would like to turn the conference back to Mr. Dunn for any closing remarks.
Jeff Blade: Actually before you do that I want to clarify one number we gave you. There was a question about stock-based compensation, and we said that for both years it was approximately $500,000. We did a research while we're taking other questions to give you a more precise number and for 2006, it’s approximately $395,000 and for 2007 approximately $400,000. Just want to clarify that. Okay.
Operator: Do you have any further remarks sir?
Peter Dunn: Is there one more question?
Operator: I was told that was all the time we had for questions today.
Peter Dunn: We have more time, for just one more question.
Jeff Blade: Just one more question, we can take it.
Operator: Okay. We will hear from Greg Ruedy with Stephens Incorporated.
Greg Ruedy: Good afternoon, thanks for letting me on the call.
Jeff Blade: Sure.
Greg Ruedy: You discussed a new menu design forthcoming, what kind of opportunity you have there with respect to mix and margins?
Jeff Blade: Let me just start, just give you a little bit of background on the new menu. So, there is several things with relation to the menu. First of all, it has much more of a casual dining fell. So, its multi page menu, it's also the menu that we currently have in test, actually has sort of two strips along each edge on the left hand edge is actually pictures of each of our combination offerings. And on the right hand edge, all of our side item offerings. The menu's intent here is first of all to make it easier to shop. Second, to sort of be deliberate in terms of the amount of real estate we are giving to each of our core equity. So, stake burgers, milkshakes, etcetera, and the menu has much more of a casual dining feel and is much more visual. And our expectation would be that, it would be easier for folks to certainly understand the meal combinations and secondly to steer them to the core equity items and some of the higher margin items.
Peter Dunn: There is couple of core build on that. It is designed to have an age -- positive age benefits. We don't want to be -- we are literally -- we have as it is our second or third iteration, we have learned things each time about not optimizing many of last couple of tests we have done. So, at this point, I am not comfortable giving you number. Probably by the next quarter we can give you a number. The second thing I would say is that as we go to optimize our menu and make available, things like an integrated offering on items that -- around the healthier end of the scale and items that -- some of our additional park innovation. We are also trying to create a platform that will support clear communication of importing new offerings in a sort of coordinated way. Our current menu is pretty crowded. So that when you try to put something new and significant on, it's pretty small or you have to jam whole much of other stuff. So, I think this menu is going to be a platform that will support future innovation. And then finally, just a quick update, so that's the answer to your question.
Greg Ruedy: Okay. Last quarter you discussed some sights that you pulled from the back half of fiscal year '07 on new site selection methodology?
Peter Dunn: Yes.
Greg Ruedy: Any of those sites have you located [parts] where you can reengage the market?
Peter Dunn: Yes, we are gearing up for 2008, so we do not expect for 2007 just because of the lead times for zoning and everything else, we sort of missed that window. So, we're not changing our range for 2007 but we are absolutely continuing to pursue new locations for 2008.
Greg Ruedy: Okay. And then lastly, I believe in the past you’ve mentioned that with some of your customers you enjoy a cult-like following? Have you been performed any studies where you’ve determined trial by daypart?
Peter Dunn: I would say that one of the thing, we have done some work around the usage, it's not assumed by daypart, for launching I do know that approximately between 80% and 90% of our guests, of people who live within a 3-mile range of a Steak n Shake restaurant, in the course of the year prior to that research had been in a Steak n Shake restaurant. So, a lot of folks have given us a try. By daypart, I do not have information by daypart.
Greg Ruedy: Okay. Thanks so much.
Peter Dunn: In the research that we’re coming up on the guest winning promise, we're actually going to have a lot of very important information around both segmentation of our guests and a lot of that will link to daypart as well.
Greg Ruedy: Okay. Thank you, gentlemen.
Peter Dunn: There was a question raised earlier about drive-thru speed; let me just give you some specifics on that. When we started, we were at about 2 minutes, we are almost at 3 minutes, the average for the fourth quarter in last year was 2.66 minutes and we are now down to 2.45 minutes for the quarter.
Jeff Blade: That measures window time.
Peter Dunn: That measures window time. So, by the 17% increase prior to Q1 and then about another 8% improvement on average in Q1.
Jeff Blade: So, we would like to thank everyone for joining us in the call today. We look forward to talking with you during quarter two. Thank you.
Peter Dunn: Take care.
Operator: This does conclude our conference today. We would like to thank you for your participation.